Operator: Good day, ladies and gentlemen, and welcome to the Quarter 3 2014 Universal Forest Products Incorporated Earnings Conference Call. My name is Cathy and I will be your operator for today. At this time all participants are in a listen-only mode. (Operator Instructions) As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Ms. Lynn Afendoulis, Director of Corporate Communications. Please proceed, ma’am.
Lynn Afendoulis: Thank you. Welcome to the Universal Forest Products Third Quarter 2014 Conference Call. Hosting the call today are CEO, Matt Missad; and CFO, Mike Cole. Matt and Mike will offer prepared remarks then we’ll open up the call for questions. This conference call is available simultaneously and in its entirety to all interested investors and news media through a webcast at www.ufpi.com. A replay will also be available at that website through November 15, 2014. Before I turn the call over to Matt Missad, let me remind you that yesterday's press release and today's presentations made by our executives include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to, those factors identified in the press release and in our filings with the Securities and Exchange Commission. At this time, I would like to turn the call over to Matt Missad.
Matthew Missad: Thanks, ma’am, and good morning, ladies and gentlemen, and welcome to our third quarter 2014 earnings conference call. We really appreciate you joining us this morning as we review our results and give you our outlook. What a great quarter and an inspired effort by all of the UFP affiliates and their teams. I am very proud of what they achieved during the third quarter and want to thank all of them for their efforts. With quarterly earnings per share of $0.96, we beat last year by over 35%, and our year-to-date earnings of $2.40 per share beat last year’s by over 36%. We are seeing improvements in operating leverage which is definitely helping our bottom line. Of course, we continually strive to do better and our teams believe we have many opportunities to improve and I believe we are on the right track as we will discuss by walking through our four key business metrics: sales, margin, inventory, and accounts receivable. In the third quarter sales dollars were up 9.5%, just shy of our goal of double-digit growth. Sales activity was good throughout the quarter. The lumber market was relatively flat during the quarter and the results are indicative of a fairly stable market. Overall, we estimate the lumber market impact on sales as a positive 6% for the quarter. Sales by market are as follows. Retail was up 10% over 2013, $272.5 million with repair and remodel showing good strength. Construction was up 6% at $239.8 million. This business is performing well in the markets we serve. And finally, industrial was up 13% at $211.3 million and obviously we’re pleased with our improvement in this market during the quarter. Gross profit for the quarter was up 60 basis points versus 2013 and year-to-date the improvement is 130 basis points. Again, the relatively stable lumber market during the quarter as well as improved product sales mix really helped drive us improvement. And our goal of double-digit profit growth was exceeded during the quarter as we achieved the 35% increase over 2013. Inventory as a percent of sales was 121.2% versus 117.3% in 2013. We still have maintained a larger than normal safety stock due to continuing transportation concerns, as well as made sure that we are well positioned on the items that are priced near their historical lows. Now, let’s move to accounts receivable. Our goal on accounts receivable is to have them 95% current. We currently stand at 92.4% current, while our write-off percentage for the quarter is 0.038% of sales. We need to improve this ratio a little and we will continue to focus on it. Looking ahead through 2014 and beyond, I’d like to touch briefly on our strategic growth initiatives including new product development and sales, organic and acquisition sales growth, and expansion in international markets. Our new product development effort continues to grow with new product sales year-to-date of $110 million, an improvement of 49% over 2013. We have strengthened our leadership team in this area and look to accelerate this growth in order to hit our 2017 target. We’re also very excited about our Deckorators brand, which will be launching several new products including decking and deck accessories. In addition, our ProWood brand is expanding with new fire-retardant and color options. And we continue to aggressively pursue acquisition targets which meet our strategic objectives and bring talented leaders into the UFP family of companies. As we mentioned, we believe that evaluation expectations of sellers are very high in the current market. But if interest rates rise and markets correct, we believe values will return to more reasonable levels. We still see current opportunities however, whereby, working together with sellers we can jointly benefit from the future growth. Our organic growth continued at each of our facilities with available space and market demand. We are increasing our expansionary capital expenditures to target additional manufacturing and value-added opportunities in several markets. We see this trend continuing as we move forward, given reasonable health in the economy. And our international business development initiative has identified several good potential business partners and has created more purchasing and sales opportunities for our existing North American based operations. We continue to grow our imports and exports, and expect to add international partners to our family of companies. When we look at the various challenges of our business growth, one of the main business challenges we face is continuing to find additional hardworking production employees in many of our markets. We continue to use new and innovative methods for recruiting and believe our benefits and profit sharing plan give us an advantage. In the general economy, we see a much lower workforce participation rate than historical levels, so we would think that many people would be available for work and excited to join our team. Yet, perhaps, we will need modifications for the safety net programs to help aid this transition. Finally, as we constantly review our capital allocation strategies, they give us – they included combination of growth and current shareholder returns. Given our improved financial performance, our Board approved a $0.40 per share dividend payable on December 15 to shareholders of record as of December 1. In addition to providing a nice Christmas boost to our shareholders, we believe this stuff – this level of semiannual dividend is sustainable with our continued performance and still allows us ample capital to achieve our growth targets going forward. Now, I would like to turn it over to Michael to talk about some of the financial highlights.
Michael Cole: Thanks, Matt. Before reviewing the financials, I should briefly address the impacts of lumber market this quarter. Year-over-year lumber prices were up almost 11% on average, which impacted our reported sales along with our working capital, cash flow, and ratios like margins. Starting with our income statement for the quarter, our overall sales increased 10% due to a 4% increase in unit sales combined with the 6% increase in prices. By market, sales to the retail market increased 10% driven by a 5% increase in unit sales. The unit sales increased due to improved consumer demand, along with some market share gains we experienced with independent retail customers. Our sales to our big box customers grew by 8% this quarter, while our sales to other retail customers increased by 14%. Our sales to the industrial market increased 13%, which included a 7% increase in unit sales. The unit sales growth this quarter was primarily driven by orders from existing customers, which contributed $24 million to our sales growth. Overall sales for the construction market increased 6%, primarily due to market share gains and improved demand with customers serving the commercial construction market. Sales to our manufactured housing customers increased 4%, which included a 1% increase in units shipped. By comparison, HUD-code home production increased about 9% during the quarter, but modular home production was soft. Our unit sales growth trailed the market again this quarter due to a vertical integration strategy employed by one of our customers. This should continue to impact our year-over-year comparisons through the fourth quarter. Finally, our sales for the residential construction customers decreased by 2% this quarter, comprised of a 9% decline in units offset by a 7% increase in prices. By comparison, national housing starts increased by 13% year-over-year. Our unit sales change continues to trail the market as remain – as we remain selective in the business that we take, particularly in the – in our framing operations. We're very pleased to report that, this strategy continues to drive significant improvements in our operating profits. Moving down the income statement, our third quarter gross profit as a percentage of sales increased by 60 basis points and our gross profit dollars increased by 14% comparing very favorably with our 4% increase in unit sales. The increase in our profitability this quarter was driven by four main factors, improvements at our operations that primarily serve residential construction customers. Unit sales growth across retail, industrial, and commercial construction markets, a more favorable lumber market this quarter, and an improvement in our product mix towards selling more higher margin value-added products. SG&A expenses increased by $6.9 million, or 13% due to $2.9 million increase in wages and benefits relating to head count and $3.2 million increase in incentive compensation tied to profitability. The vast majority of our head count increases are in the areas of sales and design to drive future sales growth. In addition, one of our 50% owned subsidiary sold certain retail estate and recorded a $2.7 million gain this quarter on a transaction. After deducting the 50% noncontrolling interest of our partners, as well as income taxes, total net gains in the sale of property contributed 700,000 to our bottom line this quarter. Overall, we are very pleased to report an increase in our net earnings of over $5 million, or 36.5%. Moving onto our cash flow statement, in 2014 our cash flow from operations improved year-over-year by $23 million, and is comprised of net earnings of about $51 million along with $24 million in non-cash expenses offset by $4 million increase in working capital since December due to growth. Investing activities included capital expenditures of $32 million, which included expansionary CapEx of $6 million associated with investments in new products and expanding our capabilities to serve industrial customers. Investing activities also included over $7 million of payments for previously announced acquisitions and $6.5 of proceeds from the sale of property, plants, and equipment. Our financing activities this quarter included $4.8 million of repurchases of our common stock. We bought back around 3,000 shares this quarter and have remaining authorization under our repurchase program of 2.9 million shares. Finally, at the end of September, the revolving credit facility had almost $255 million in availability after considering letters of credit. Our balance sheet continues to be in great shape and we believe we could add $115 million in debt and still feel comfortable with our leverage capital structure. That's all I have in the financials Matt.
Matthew Missad: Thanks very much, Mike. We now welcome any questions that any of you may have.
Operator: (Operator Instructions) The first question comes from Jay McCanless of Sterne Agee.
Jay McCanless – Sterne Agee: Good morning, guys, how are you?
Matthew Missad: Good morning, Jay, how are you?
Jay McCanless – Sterne Agee: Doing well, thanks for taking the questions. The first one I want to ask was on the buyback, you said you bought 103,000 shares this quarter and leaves about 2.9 million on the authorization. Are you all going to be more active in this program and how should we think about that going forward?
Matthew Missad: Yes, I think, Jay, we do have plenty of authorization out there. We're going to continue to be opportunistic as we look through this process. So, again, our idea is providing the best shareholder return, so when it makes sense, we'll definitely be involved.
Jay McCanless – Sterne Agee: Okay. And then did want to talk about the SG&A, because it was hard than what we do anticipated. Do you feel like you're – at what point are you now in the head count increases and should we expect some of the SG&A to level off, or do you guys see more opportunities to bring people on and should we expect more deleveraging on a year-over-year basis as we go forward?
Michael Cole: Jay, I think, if we just look one quarter ahead, I would expect to see a similar increase in SG&A as we saw in previous quarters. So that that increase has been pretty continuous throughout the year, so profitability and head count are what's driving it. And then as we look forward, there is a lot of operating leverage on the SG&A line item and we expect to take advantage of that. But we know that in order to continue to drive growth particularly in the industrial area, you got to add salespeople and design people. So that will continue to be some head count growth, but the good part about it, it’s driving our sales growth and driving our partner gross profits.
Matthew Missad: And I think it’s important, Jay, to take a look at the SG&A number in relation to the gross profit number instead of just the sales number as well, that will give you a little better feel for it.
Jay McCanless – Sterne Agee: Okay.
Matthew Missad: That’s how we get comfortable that we're heading down the right path.
Jay McCanless – Sterne Agee: Understood. And then lumber market, could you just give a little – give us a little bit of lumber market commentary to start the fourth quarter, our OSB price is still trailing lower year-over-year and what about framing lumber?
Matthew Missad: Yes, I think, if you look overall the kind of the random lengths framing lumber, it’s trending down a little bit, but it hasn’t been any kind of a drastic drop. I think, the OSB market has firmed up, and I would expect that some of the supply will go through seasonal periods of temporary closures or temporary curtailments, so I would expect that that market will firm somewhat.
Jay McCanless – Sterne Agee: Okay, great. Thanks, guys.
Matthew Missad: Thank you.
Operator: Thank you. The next question comes from the line of Steve Chercover of D. A. Davidson.
Steve Chercover – D. A. Davidson & Co., Inc.: Thank you. Good morning, Matt and Mike.
Matthew Missad: Good morning, Steve.
Michael Cole: Hi, Steve.
Steve Chercover – D. A. Davidson & Co., Inc.: I also have questions on softwood lumber and a few other items. So as I recall, you are the largest buyer of softwood lumber in the country. Are you seeing a material degradation the quality of wood out of British Columbia, we are all aware of the Mountain pine beetle, I'm just wondering if you are starting to see that quality get really sketchy?
Matthew Missad: Actually, I think we've kind of gone through that piece. I think that the quality is improving, and again one of the things that we like to look at is we’re able to purchase the entire log. And therefore, we take all the different rates. So for us any kind of opportunity there, it is a plus but I don’t see a big quality degradation necessarily.
Steve Chercover – D. A. Davidson & Co., Inc.: Okay, thanks. And also on the buyback, love the dividend boost, like the fact you’re buying back shares. You say, you’re going to be opportunistic. I just got a feel that with your statements with respect to how other people look at their companies, where you’re trying to do M&A, your stocks got to look really attractive even with little bump today. I guess that’s how…
Matthew Missad: We have really – we think it does look very attractive.
Steve Chercover – D. A. Davidson & Co., Inc.: Okay. Because that – I guess, that was more of a comment than a question but anyhow. And finally, with diminished sales to residential, I mean, that’s obviously by design. It’s hard to see how the other framers are more competitive or have a lower cost of capital. So are they just being irrational chasing business that they hope will be lucrative in the future or do you think these are opportunities will come back to you as housing recovers?
Matthew Missad: Yes, I'm certainly not going to comment on the thought process of other framers. What I can tell you is that from our perspective, unless there is a chance for us to earn a fair return for the risk in the work that’s involved we really can’t afford to do that business at low prices.
Steve Chercover – D. A. Davidson & Co., Inc.: Oh, yes. I mean, no business is better than bad business. So, I like what you’re doing. I’m just – still assume there must be some sort of opportunity going forward?
Matthew Missad: Yes, there is certainly – there certainly could be if the markets turn around and there is a pricing recognition, but until that happens we’ll be selective in what we do.
Steve Chercover – D. A. Davidson & Co., Inc.: Got it. Okay, thanks. Great quarter.
Matthew Missad: Thank you.
Operator: Thank you for your question we have no further questions. I would now like to turn the call over to Matt Missad for closing remarks.
Matthew Missad: Well, once again, thank you for listening this morning and for your interest in our company. Rest assured that we will keep driving sales and profit growth with the ultimate goal of increasing the value of our company for our shareholders. I’d like to again thank all of our employees for all their hard work and dedication. And finally have a great day and go Bulldogs.
Operator: